Operator: Good day, ladies and gentlemen and welcome to the Quarter Three 2015 Arch Capital Group Earnings Conference Call. My name is Emma and I will be your operator for today. At this time, all participants are in listen-only mode. We will conduct a question-and-answer session towards the end of the conference. [Operator Instructions]. As a reminder, this call is being recorded for replay purposes. Before the company gets started with its update, management wants to first remind everyone that certain statement in today’s press release and discussed on this call may constitute forward-looking statements under the Federal Securities Laws. These statements are based upon management’s current assessments and assumptions and are subject to a number of risks and uncertainties. Consequently, actual results may differ materially from those expressed or implied. For more information on the risks and other factors that may affect future performance, investors should review periodic reports that are filed by the company with the SEC from time to time. Additionally, certain statements contained in the call that are not based on historical facts are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. The company intends the forward-looking statements in the call to be subject to the Safe Harbor created thereby. Management also will make reference to some non-GAAP measures of financial performance. The reconciliation to GAAP and definition of operating income can be found in the company’s current report on Form 8-K furnished to the SEC yesterday, which contains the company’s earnings press release and is available on the company’s website. And now I would like to turn the call over to Mr. Dinos Iordanou and Mr. Mark Lyons. Please proceed.
Dinos Iordanou: Thank you, Emma. Good morning everyone and thank you for joining us today. Our third quarter earnings were driven by solid reporter underwriting results while investment returns were impacted by decline in the equity markets. Group-wide and on a constant dollar basis our gross written premium increased by nearly 4% in the third quarter over the same period in 2014 while net written premium was up approximately 1% as underwriting actions in our insurance and reinsurance business were offset by growth in our mortgage business. Changes in foreign exchange rates reduced our net written premium on a U.S. dollar basis by approximately $21 million or approximately 2.4% of our volume in the quarter. On an operating basis we earned $126 million or $1.1 per share for the third quarter which produced an annualized return on equity of 8.6% for the 2015 third quarter versus 9.7% return on equity in the third quarter of 2014. Looking at it from a trailing 12-months ending in September 30, 2015, after tax operating income available to Arch common shareholders produced a 9.9% return on average common equity while net income available to common shareholders produced 11.6% return on average common equity. On a net income basis Arch earned $0.60 per share this quarter which was lower than operating income primarily due to realized investment losses. Net income movement on a quarterly basis can be more volatile as these earnings are influenced by changes in foreign exchange rates and realized gains and losses in our investment portfolio. Our reported underwriting results remained satisfactory as reflected in our combined ratio of 89.7 and were aided by a low level of catastrophe losses and continue favorable loss reserve development. Net investment income per share for the quarter was $0.54 per share up $0.01 sequentially from the second quarter of 2015. The strengthening of U.S. Dollar impacted total return on the company’s investment portfolio which declined 31 basis points for the 2015 third quarter. Our operating cash flow excluding Watford Re was $359 million in the third quarter as compared to $319 million in the same period a year earlier primarily reflecting a higher level of premium collections. Our book value per common share at September 30, 2015 was at $47.68 per share a slight increase from the second quarter of 2015 and an increase of 8.3% from September 30, 2014. With respect to capital management, we continue to have capital in excess over our target levels, however we did not find many opportunities to repurchase shares in the third quarter that would meet our previously stated criteria for share repurchases. As you may recall, our philosophy with respect to share repurchases is based on the relationship of expected returns to the premium to book-value with the exception that we could earn the premium back over a reasonable period of time. Considering the underwriting environment we’re operating in, and the returns we’re achieving, we believe that it would take more than three years to recover the premium paid. With respect to overall market conditions, reinsurance industry pricing remains under pressure. Today we have not yet seen significant erosion in the insurance business with the exception of certain lines which I will discuss in a moment. We believe however that the ability to buy reinsurance by us and our competitors on favorable terms will eventually lead to more competitive conditions across the insurance industry in the future. As we have discussed in prior calls, there are several areas in the insurance sectors that are experiencing increasingly more price competition. They are E&S property global property large accounts professional liability lines including D&O especially in the foreign markets as well as marine, aviation and energy, business lines, in which we continue to reduce our exposure and our participation. Turning back to our quarterly results. The insurance segment, gross written premiums on a constant dollar basis grew 5.6% and 2.8% on a net written basis in the quarter over the same time period in 2014 with most of the growth coming from our construction and national accounts, travel, and accident and health business units. Mark will comment further on premium volume in a few minutes. In our reinsurance segment, we responded to soft underwriting conditions by reducing gross written premiums on a constant dollar basis by approximately 2% over the same period over a year ago. Increased sessions primarily to Watford Re in the quarter led a further reduction in our net written premium, also on a constant dollar basis of 6% for the quarter-over-quarter comparison. Our mortgage segment includes primary mortgage insurance written through Arch M.I. in the U.S. reinsurance treaties covering mortgage risk written globally as well as GSE credit risk-sharing transactions. Beginning in 2015 third quarter the current quarter, new credit risk transactions now follow insurance accounting which Mark will discuss in a few minutes. Gross written premium in the mortgage segment were $74.7 million in the third quarter of 2015 or 12.5% increase than in the same quarter in 2014 driven primarily by growth in Australian mortgage reinsurance premium along with Arch participation on GSE credit risk-sharing transactions. Net written premium grew 14.3% over the same period to $66.4 million as we retained a higher percentage of Australian business written in 2015. Our U.S. mortgage insurance operations produced approximately half of the segment’s net written premium in the third quarter with 24 million coming from the Credit Union channel and approximately 8 million of premium written from the bank channel. Of note this quarter, underwriting income for the U.S. operations move into the positive territory with about $2 million of underwriting income in the quarter reflecting the slow by steady progress we’re making in this area. We continue to make progress in the expansion of the bank channel as Arch M.I. has approved 835 master policy applications from banks and more than 350 of these banks have submitted loans to Arch M.I. in for underwriting. In the third quarter of 2015, we reached a modest milestone when new insurance written within the bank channel of 1.8 billion surpassed our Credit Union production of 1.4 billion of new insurance written. While we continue to see good opportunities in mortgage reinsurance, the GSE risk-sharing transactions issued by Fannie Mae and Freddie Mac are becoming an important component of our mortgage segments’ revenues. We pioneer one of the first of these structures over two years ago by building upon the expertise of our mortgage team and working with GSEs to provide insurance coverage. Since we’re talking about innovation in the sector, it might be worth a minute now to discuss the introduction of RateStar to mortgage lenders last week. We began this project approximately five quarters ago with a goal to develop a more robust re-space pricing tool that in many ways would parallel what we do across our entire enterprise and is a hallmark of the Arch underwriting group approach. To us, the current rate card approach which uses just two factors, FICO scores and loan to value ratios while very important variables over simplified ratio. Our team reviewed very rich proprietary data that we acquire from PMI and other available industry data that would allow us to establish an appropriate price for the risk exposures assumed. RateStar will enable us to more effectively allocate capital and calculate the appropriate re-space re-trends on mortgage insurance at the individual loan level. While these may be relatively recent innovation for the mortgage insurance industry with United Guaranty, the first to introduce a re-space pricing tool, this approach has been utilized in our other lines of business within Arch for many years. As many of you know, the return on re-space capital serves as the basis of our incentive compensation plan. Our underwriters are paid on the basis of what profit they produce on allocated capital. We’re pleased that we’re now at the point where we are making the appropriate filings and we’re appropriate seek and regulatory approval for mortgage insurance and expect to introduce this into the marketplace during December of 2015. Let me now turn back to the overall market conditions across all of our markets, insurance, reinsurance and mortgage, conditions are competitive to varying degrees. However, Arch diversified mix of business and our willingness to exercise underwriting discipline should allow us to continue to generate acceptable returns. Group-wide, we believe that on an expected basis that the present value ROE on the business we have written this year, we will continue to produce an underwriting year ROE in the range of 10% to 12% on allocated capital. Before I turn it over to Mark, I will also like to discuss our PMLs. As usual I would like to point out that the CAT PML’s aggregates reflect business bound through October 1, while the premium numbers included in our financial statements are through September 30 and that the PMLs are reflected net of reinsurance and retrocession. As of October 1, 2015 our largest 250 year PML for a single event remains Northeast at $509 million or approximately 9% of common shareholders’ equity. Our Gulf of Mexico PML decreased to $473 million as of October 1, and our Florida Tri-County PML also decreased to $414 million. I will now turn it over to Mark to comment further on our financial results. And after his comments, we will come back and take your questions. Mark?
Mark Lyons: Great, thank you, Dinos and good morning all. As was true on last quarter’s call, and the last few quarters, my comments that follow today are on a pure Arch basis which excludes the other segment that being Watford Re unless otherwise noted. So, same as in previous call, I would be using the terms core to denote results without Watford Re and just on consolidated when discussing results that includes Watford Re. Okay, the core combined ratio for this quarter was 89.7% with 2.3 points of current accident-year CAT-related events, net of reinsurance and reinstatement premiums compared to the 2014 third quarter combined ratio of 88.5% which reflected a lower level of CAT at 1.6 points. Losses reported in the third quarter from 2015 catastrophic events, net of reinsurance recoverable or reinstatement premiums totaled 18.8 million versus 14.2 million in the corresponding quarter last year, primarily emanated from Chilean Earthquakes and the California fires along with various smaller events. The 2015 third quarter core combined ratio reflect 7.1 points of prior year net favorable development, net of reinsurance and related acquisition expenses compared to 8 points even of prior period favorable development on the same basis in 2014 third quarter. This result in a core accident quarter combined ratio excluding CATs for the third quarter of 94.5% compared to 94.9% in the third quarter of last year. In the insurance segment, the 2015 accident quarter combined ratio excluding CATs was 95.8% compared to an accident quarter combined ratio of 98% even a year-ago. This 220-basis point improvement was driven by 150-bp reduction in the loss ratio and the 70-basis point reduction in the expense ratio with the loss ratio decrease reflecting lower large loss attritional activity than was the case in the third quarter of last year. Taking this into account the insurance segment accident quarter loss ratio was slightly higher this quarter versus the third quarter of 2014. The reinsurance segment 2015 accident quarter combined ration again excluding CATs was 94.6% compared to 90.6% in the 2014 third quarter. As noted in prior quarters the reinsurance segments results reflect changes in the mix of premiums earned including a continued lower contribution from property catastrophe and other property businesses. This quarter most of the combined ratio increased relative to the third quarter of 2014, stemmed from the expense ratio and from a marginally higher level of larger attritional losses. The mortgage segment 2015, accident quarter combined ratio excluding cash was 82.5% compared to 88% for the third quarter of 2014. This decrease is predominantly driven by the continued low level of reported delinquencies benefiting the loss ratio associated with the CMG business we acquired in 2014 along with excellent credit experience to date on business risen since the acquisition. Some of the benefit of the CMG businesses offset by the contingent consideration earn-out mechanism negotiated within the purchase agreement. As we commented on last quarter, an accident quarter approach to the mortgage business is not had the same meaning it does on the PC side because of the way the business works in the way the economy works. The insurance segment accounted for roughly 16% of the total net favorable development this quarter and was primarily driven by medium and longer-tailed lines predominantly from the 2007 to 2012 accident years. The reinsurance segment accounted for approximately 78% of the total net favorable development in the quarter excluding associated impact on acquisition expenses with approximately 39% of that due to net favorable development on short-tailed lines concentrated in the more recent underwriting years and the balance due to net favorable development on longer-tailed lines predominantly from underwriting year 2009 and prior. The remaining 6% of the net favorable development emanated from the mortgage segment which reflects the continued improvement in the U.S. book delinquency rate. Approximately two-thirds of our core 7.3 billion of total net reserves per losses and loss adjustment expense are IBNR and additional case reserves which still continues to remain fairly consistent across both reinsurance and insurance segments. The core expense ratio for the third quarter of 2015 was 34.2% versus the prior year’s comparative quarter expense ratio of 33.5% partially driven by a 3.6% decrease in net earned premiums that I will discuss each segment expenses shortly. The insurance segment’s expense ratio decreased 70 basis points to an even 31.0% for the quarter compared to 31.7% a year-ago. The net acquisition ratio decreased 90 basis points whereas the operating expense ratio increased by only 20 basis points. The insurance segment net acquisition ratio reduction continues to reflect materially improved pre-ceding commissions on an earned basis associated with core share contract ceded. It’s important to note however that on a written basis, the front-end gross commission ratio worldwide actually decreased 50 basis points, whereas the average quarterly share cede commission ratio improved a substantial 260 basis points which as you will recall as identical to the benefit achieved last quarter. These overall net acquisition improvements however will continue to be felt as these ceded written premiums are earned over the next few quarters. The reinsurance segment’s expense ratio increased from 32.6% in the third quarter of third quarter 2014 to 35.6% this quarter primarily due to a 12.2% lower level of net earned premium, a higher level of precede commissions and a slight increase operating expenses, although serially the expenses actually dropped compared to last quarter. The net acquisition ratio increased 100 basis points due to market forces, whereas the 200 basis points increased in the operating expense ratio is almost exclusively driven by net earned premium reduction mentioned earlier. As I commented on last quarter, separating components of expense ratio could be a little bullish because of the accounting does not go back and reflect the reimbursement of operating expenses contemplated in the cede commission itself. The ratio of net premiums to gross premiums on our core operations in the quarter was 73.1% versus 75.5% a year ago. The insurance segment had a 72.2% ratio compared to 74.2% a year earlier whereas the reinsurance segment had a net to gross ratio of 72% in the quarter compared to 75.8% a year ago, primarily reflecting increased sessions to Watford Re as a reinsure. Our U.S. insurance operation saw a 60-basis point effective rate decrease this quarter, net of ceded reinsurance. As commented on the last couple of quarters the pricing environment is quite different for short-tailed versus longer-tailed lines as Dinos also referred to. Our short-tailed first party lines of business had an effective 4.4% rate decrease for the quarter compared to a 30-basis point effective rate increase for the longer-tailed third party lines both on a net-of-ceded reinsurance basis. Looking more deeply, some lines incurred rate reductions such as an 8.9% decrease in property and an 8.1% decrease in high capacity D&O business, while others enjoy healthy increases such as plus 6% in our lower capacity D&O lines, and a 4.1% increase in our program business. Also as our lower capacity D&O lines have now achieved 17 consecutive quarters of rate increases. Now turning to our continuing market cycle management, the insurance group worldwide reduced gross written premiums in the highly competitive and volatile lines of E&S Property and Global Property by 12% and Energy and Marine by 15% quarter-over-quarter. By contrast, lower volatility lines have contract binding and travel expanded north of 20% on a gross basis partially offset by a decline in program business due to purposeful underwriting actions. As stated in last quarter’s call, some volume impacts were a result of underwriting actions taken on two programs, whereas another program administrator has been purchased by a competitor and the premium loss impacts will be felt beginning next quarter. Lastly, as Dinos has already stated, the insurance segment’s construction business saw growth this quarter. However, much of this book has project policies and odd time policy terms which can result in lumpy premium volume quarter to quarter. The reinsurance group only had 9% of its net earned premium represented by property CAT this quarter. And property CAT net written premiums were reduced by another 11% quarter-over-quarter reflecting our view of that marketplace. Additionally, the property other than property CAT line had a net written premium decrease of roughly 6% this quarter, and the reinsurance group also reduced net volume again in motor quota share and crop hale by approximately 20% is response to market conditions. The mortgage segment posted a 75.2% combined ratio for the calendar quarter, the expense ratio was as expected continues to be high as the operating ratio related to our U.S. primary operation will continue to be elevated until proper scale is achieved. The net written premiums of 66.8 million a quarter is driven by the 31.2 million from our U.S. primary operation and 35.6 million of net written premiums from our reinsurance mortgage operations primarily. This segment also had 3.6 million of other underwriting income for the quarter versus approximately 1 million in the comparative quarter last year due to our GSE credit risk-sharing transactions. This quarter marks the first time that we have reflected some mortgage risk sharing transactions with insurance accounting rather that derivative accounting treatment. The net written premium this quarter under insurance accounting totaled 2.2 million or as legacy risk-sharing transactions shall continue to be accounted for as derivatives. That is reported in other underwriting income. One should also note that mortgage reinsurance premium growth is driven by the fact that the Australian business is a single premium market as supposed to the United States which is predominantly a monthly premium market. At September 30, 2015, our total mortgage segment risk-in-force of $10.3 billion which includes $6.5 billion from our U.S. mortgage insurance operation, $3 billion even through worldwide reinsurance operation and approximately $800 million primarily compared of the GSE risk-sharing transactions. Our primary U.S. mortgage operation is down $3.2 billion of new insurance written down in the quarter which was approximately 57% through the bank channel and 43% via Credit Union clients. The weighted average FICO score for the U.S. primary portfolio remains strong at 735 and a weighted average loan to value ratio held steady at 93.2%. Those states risk-in-force represents more than 9% of the portfolio and our U.S. primary mortgage insurance company is operating at an estimated 10.2:1 risk to capital ratio as of the end of September. The other segment that being Watford Re, reported a 99.4% combined ratio for the quarter on a $125 million of net written premiums and $99.2 million of net earned premiums. As a reminder, these premiums reflect 100% of the business assumed rather than simply Arch’s approximate 11% common share interest. As for business sourcing approximately 29% of the $131 million in gross written premiums this quarter was written directly on Watford paper with the remainder ceded by Arch affiliates. It should be noted however that this sourcing mix can vary materially quarter-to-quarter. The total return on our investment portfolio was reported negative 31 basis points on U.S. dollar basis this quarter primarily reflecting declines in most areas other than investment grade fixed income. Total return was negatively impacted from the strengthening U.S. Dollar on most of our foreign denominated investments. Excluding foreign exchange, total return was a positive 4 bps in the quarter. On a year-to-date nine-month perspective, total return was a positive 76 bps on a U.S. Dollar basis and a positive 173 bps excluding the effects of foreign exchange. Our embedded pre-tax book yield before expenses was 2.1% as of September 30, compared to 2.18% at December 31, 2014. While the duration of the portfolio lengthened slightly to 3.42 years. The current duration continues to reflect our conservative position on interest rates in the current yield environment and tactical moves in the fixed income portfolio. Reported net investment income in the quarter was $0.54 a share or $67.3 million versus $0.53 a share in this 2014 third quarter or $72.2 million. As always, we evaluate investment performance on a total return basis and as such invest in asset sectors which may not generate above the line net investment income. Interest expense for the quarter on a core basis was $12 million, which is more consistent with our normal quarterly run-rate versus last quarter and the third quarter of 2014 that were effected by periodic adjustments for certain loss portfolio transfer. Our effective tax rate on our pre-tax operating income available to Arch shareholders for the third quarter was an expense of 5.7% compared to an expense of 2.5% in the third quarter of 2014. Approximately $1.8 million or 22% of this quarter’s tax represents a true-up to bring the first half of the year to this now higher effective tax rate. Reflecting this, the nine-month or annualized effective tax rate is 4.5% on pre-tax operating income. As always demonstrated this quarter, fluctuations and the effective tax rate can result from variability and a relative mix of income or loss that occurs or was projected by jurisdiction. Our total capital was $7.05 billion at the end of this quarter, which is virtually flat with total capital as of June 30, 2015 and December 31, 2014. Approximately $522 million remains under our existing buyback authorization as of the end of this quarter. Our debt-to-capital ratio remains low at 12.6% and debt plus hybrids represents only 17.2% of our total capital which still continues to give us significant financial flexibility. And as Dinos has mentioned we continue to estimate having capital in excess of our targeted position. Book value per share was $47.68 at the end of the quarter up 4.6% relative to the end of the year of 2014. This change in book value per share this quarter primarily reflects the company’s continued strong underwriting results. With that said, we’re now happy to take your questions.
Operator: [Operator Instructions]. And your first question comes from the line of Amit Kumar from Macquarie. Please go ahead.
Amit Kumar: Thanks, and good morning and congrats on the quarter.
Dinos Iordanou: Thank you.
Mark Lyons: Thank you, Amit.
Amit Kumar: Just maybe one or, I guess one or two questions. Number one is, going back to the discussion on RateStar there was some confusion in the marketplace when the press release came out, as to what it means for pricing and your competition. Can you talk a little more about it and without obviously giving away the secret sauce, talk about the expected ROEs? And maybe talk about how should we think about the adoption rate of RateStar going forward? Thanks.
Dinos Iordanou: Yes, as Coca-Cola who’ll never reveal their formula, we won’t reveal our formula either. But at the end of the day, we’re in the underwriting business and I think the more robust analytics you have in the way you allocate capital and price, the risk of exposure, the better off you are as an organization. So, this effort is towards that goal. We’re trying to go from a more simplistic approach to pricing mortgage risk to something a bit more sophisticated that we introduce other variables in the decision making, in essence affecting the pricing. Now, it doesn’t mean we’re going to abandon the rate card. The rate card is out there and the there is some bank channels, some customers they prefer that. And basically they will only do business on that basis. We will continue to do that but also there is other channels that they prefer to go to a more sophisticated pricing methodology that more appropriately allocates the right premium to the exposure. And we’re going to go forward with that where appropriate. So, you want to continue to see us having both the rate card and RateStar and only the marketplace will tell us as to how much of which is going to be used over time.
Amit Kumar: Got it, that’s helpful. The only other question I have is going back to the discussion on capital management. And again, it’s a high-quality problem. I’m not sure the capital is burning a hole in your pocket. Would you consider other avenues to return capital or are we not there yet? How should we think about that?
Dinos Iordanou: Well, I mean, that’s the million-dollar question. At the end of the day, yes, we always consider other avenues. Having said that, there is also, we are known that you might want to have a little bit of ammunition in case opportunities come as the market turns. So, it’s more of a complicated issue for us. What was not complicated in this quarter was that, we usually stick to our knitting, and when we made the calculations we felt that it might take four to five years to earn back the premium we’re going to pay when we purchase shares. And we said, let’s not do that let’s see what other opportunities we have or other avenues. Having said that, we’re going to have those discussions, both internally as a management team and also with our board when we meet, and we’ll make determinations on that time.
Amit Kumar: Okay, fair enough. That’s all I have. Thanks for the answers.
Dinos Iordanou: You’re welcome.
Operator: Thank you. And our next question is from the line of Michael Nannizzi from Goldman Sachs. Please go ahead.
Michael Nannizzi: Thanks so much. Just couple of hopefully quick ones, on the U.S., on the M.I. business, can you talk about how much of your NIW in the quarter was singles versus monthly premium?
Dinos Iordanou: Mark, you have those numbers.
Mark Lyons: Yes, it is approximately 24% other than singles.
Michael Nannizzi: Okay. And the RateStar is relevant to the monthly business I take it?
Mark Lyons: Yes, predominantly yes.
Dinos Iordanou: You can apply them both sides. I mean, it’s because even when you do singles, you have, you get granular mortgage by mortgage attributes. So you can apply that. But at the end of the day, it is, when you go to single, you try to look at your return, what kind of a price you’re going to get and that’s why you saw a significant reduction in us, for the quarter as to how much we wrote in singles.
Michael Nannizzi: Got it. And then, if we were to think about the lead RateStar versus the rate card, what demographic - I mean, I’m guess for some types of business it’s going to be cheaper and for others it’s not going to be. So is there, like is there any way to kind of think about?
Dinos Iordanou: This type of business is exposure, Michael; it’s exposure. Let me turn it over to you and you tell me the difference, if you have, if you have two loans the both 750 FICO and 90 LTV, but one borrower has a coverage ratio of 35 and the other one 25, which one loan would you prefer right. And at the end, how do you reflect that in your pricing. I’m not going to get into all the algorithms that we have because then it’s not only you listening, our competitors are listening, so.
Michael Nannizzi: I understand.
Dinos Iordanou: But introducing additional variables, you’ve seen it in the a lot of other P&C lines, you’ve seen it a lot on the selection of risk in the automobile business, progressive is very good and famous for its Geico, etcetera. And at the end it makes for a better return for shareholders and probably a fairer charge to the consumer based on their own risk characteristics.
Michael Nannizzi: Got it, okay. And so, just last one on that not about the algorithm. But for the players or for your customers that do accept or prefer RateStar, have you seen a meaningful change in submission volume?
Dinos Iordanou: We haven’t yet introduced it to them. We finished the project we made the press release that’s why I talked about it. And our sales force is in discussions with the marketplace, and starting to introduce it. At the end of the day, we’re going to continue having both rating engines available and it would be up to our customers to choose which one they prefer.
Michael Nannizzi: Got it. Thank you so much for that Dinos, I appreciate it. And then really quick, Mark, on I was just looking at Watford written premiums versus reinsurance ceded premiums, and there is a sort of growing gap there. Are you, is Watford or is the insurance sub or segment ceding business to Watford or is Watford picking up business from outside of Arch as the difference?
Mark Lyons: Well, as I commented on a gross basis, just a way to look at it, 29% of it is coming natively on their paper. But we’re continuing to get Arch Re affiliates and Arch Insurance to be sending over either a retro session or reinsurance. And I think this quarter that was slightly more proportionately from the insurance segment.
Michael Nannizzi: Got it. Okay. And then the last one on the reinsurance expense ratio, just trying to sort of think about that a little bit. So, it sounds like the expense ratio to procure businesses for reinsurance is going up, so that’s a prior tailwind to the insurance expense ratio. But so that’s going to raise the acquisition cost I guess for reinsurance but then you have an offset from Watford because I’m guessing the same dynamic exists between Watford and the reinsurance company. How should we think about, do those things neutralize each other or is there more of a headwind or more of a tailwind from those sort of inter-company transactions?
Mark Lyons: Your observations are right. The net impact is really market force driven. And there is some element of Watford that it’s reflected on the fees, it’s reflected in acquisition expense. So, as Watford continues to grow that will become sessions that will continue to be more meaningful as it offset, which I think the question you were asking. It’s probably close to neutralizing but not quite. You still could perhaps see a net increase but nowhere near the increase it, would be without the existence of this.
Dinos Iordanou: Let me add something to your question from a different perspective. At the end of the day I, our intellectual factory that produces great results is the underwriting talent that we have within the reinsurance groups. And this management team, me down to Grandisson and Lyons and Papadopoulo etcetera, we strongly believe that we have very good underwriters, talented underwriters and independent if the market might not allow us to utilize them at a 120%, which we usually do. But we’re not willing to send those underwriters back into the marketplace for our competitors to hire, etcetera. So, I never saw a company have problems because their expense ratio went up maybe a point or two, I’ve seen all companies having a lot of difficulty when their loss ratio balloons by 5, 10, 15 or 20 points. So you got to understand that’s our philosophy. Yes, we expect our managers to manage expenses and there is attrition within the organization. But we’re not willing to let go good talent just because we can utilize the factory at full capacity. That to us, the underwriting step we have is our intellectual factor that produces the profit and I’m going to hold on to that.
Mark Lyons: And one of the technical points Michael is, what Dinos just talked about is the core principle really for us. But on the technical side, yes, little bit of a difference in shift, the treaty business is falling off a bit more and whereas the facultative is not. And that has a direct sales force. So you get a little bit of that waiting pushing it up as well.
Michael Nannizzi: Got it, thank you both so much for the answers really appreciate it.
Dinos Iordanou: Quite welcome.
Operator: Thank you. Our next question is from the line of Ryan Tunis from Credit Suisse. Please go ahead.
Ryan Tunis: Hi, thanks. So, Dinos, your point I guess on the tiered pricing is that, it allows to better risk selection that makes sense. But there still seems to be a concern in the market I guess if you look on some that acted in the past week or so, that if you’re successful at implementing tiered pricing, competitors may follow. And that would then lead to broader pricing pressures. And I guess, I’m just curious if that’s also a concern of yours and do you think more to your pricing in general for the industry could lead to the pricing pressure?
Dinos Iordanou: I don’t believe we will, because the other factor you haven’t factored in. This was expected returns different us and our competitors are looking for. So, better selection doesn’t mean that you have lowered your return expectations. All you’re doing is pricing more appropriately to the type of exposures you’re getting. This is not about reducing pricing in the marketplace this is about assigning the right price to the right exposure. And at the end of the day our return characteristics, they’re no different if we use the rate card or RateStar. So, having that mind, it would tell you that basically the whole effort was to improve how we think from an underwriting point of view not to gain market share of some people, I heard comments to that effect, if we wanted to do market share or reduced prices, the easiest way to do is to take the right card and you shave a few bps in each one of the category. And I don’t have to be spending a lot of brain power with a lot of our people over number of thousands of man hours in developing something that is more sophisticated. So, I think there was misunderstanding in the marketplace but eventually for those who know Arch and know our underwriting approach, they will understand that at the end of the day we’re trying to be better in the way we’re going to select and price risk appropriately, which is the foundation of this company.
Ryan Tunis: Got it. So, I guess my follow-up then is just talking about signing the right rate to the right exposure. And doing that is, is there a segment of the marketplace that you envision Arch M.I. becoming quite a bit less competitive in that comes to mind?
Dinos Iordanou: Yes, there are going to be segments, which are going to become more competitive and segments which are going to get less competitive. If you expect a certain return from the pie and now the pie is cut a little differently, you’re going to have the pluses and the minuses. Now, the question is, are you getting a lot more on the pluses and lot less on the minuses, which and what kind of return you’re going to have with that, only time would tell but when we were comfortable with our ability to price the exposures better by using more variables at just FICO score and LTV.
Ryan Tunis: Thanks Dinos, good luck.
Dinos Iordanou: Thank you.
Operator: Thank you. Our next question comes from the line of Sarah DeWitt from JPMorgan. Please go ahead.
Sarah DeWitt: Hi, good morning.
Dinos Iordanou: Good morning, Sarah.
Sarah DeWitt: The GSE growth opportunity sounds pretty interesting for you. How would you think about sizing that and if we look out over the next five years, what percent of overall earnings you think that could be?
Dinos Iordanou: Mark, do you want to take a shot at that, I mean?
Mark Lyons: Over the next five years, my crystal ball doesn’t go in five months. But still, it is, we do feel it as a positive opportunity. And I think one way you should think about it is that the advent now of Fannie joining Freddie on this, and it seems that because they’re expanding and looking for others to participate in this, they’re going through the efforts of establishing broader market, which gives credence to the fact that they’re here to stay, it’s not just a transitional thing. So, with Freddie continuing to do this and Fannie continuing to do this, we do think it’s an exciting opportunity. And so, it’s definitely going to be a growing piece. Now, as long as pricing stays sane, we will continue to be participants in that growing marketplace. So far on the Fannie deals, they’ll all had the same structure they’ve all been 2.5 points excess of a 0.5 point on subject loans that are out there. This is why it’s difficult, we don’t know how those structures are going to change over time, how they’re going to be, higher attachment, lower attachment, so it’s very difficult to put your thumb on volume level and how much of these are going to be pushed out into the marketplace. But we view it as an exciting opportunity for us.
Dinos Iordanou: Yes, and they might change to go to first loss or, right now, it’s excess of loss so using insurance terms. But this is an evolving area but the demand is robust.
Sarah DeWitt: Okay, great. Thanks. And just on M.I. broadly are you able to be more competitive on price because you have a diversification advantage versus your model line competitors or is that not a consideration?
Dinos Iordanou: That is not a consideration.
Sarah DeWitt: Great, thank you.
Dinos Iordanou: You’re welcome.
Operator: Thank you. Our next question comes from the line of Vinay Misquith from Sterne Agee. Please go ahead.
Vinay Misquith: Hi, good morning.
Dinos Iordanou: Well, I didn’t know you changed your name Vinay.
Vinay Misquith: Well, the first question is on the RateStar once again. So what percentage of lenders do you think will use RateStar and is it the smaller lenders versus the larger lenders?
Dinos Iordanou: On your first question, I don’t have a clue. I can’t even project that. On the second question, I would say, most likely the small lenders would be more adapting to the RateStar than the larger lenders because the larger lenders they like their more simplicity of the rate card and they have a lot of power in the marketplace etcetera. Small vendors, they’re trying to find niches so they can penetrate the market. So, but that’s purely forward guesses on my part, only time will tell once we introduce this here.
Vinay Misquith: Okay. So that means that this thing would take some traction to get through just because the larger lenders I guess make up bigger portion of the total business, correct?
Dinos Iordanou: That’s correct.
Vinay Misquith: Okay. And I mean, my view of this was that the higher FICO scores were subsidizing the lower FICO scores. And so, the new rate, from the RateStar will sort of reduce pricing for the FICO scores and raise pricing for the lower FICO scores. Do you worry that since 60% of your business in the higher FICO score business that this could lead to higher competition amongst peers and sort of reduce the profitability for the larger pieces of the business?
Dinos Iordanou: No, you’re going in the wrong direction Vinay. If it was just FICO scores, you don’t need to go and make all these efforts to create a RateStar with multiple algorithms. It’s rather characteristics. There is rich data in the loans being provided to us by the lenders. Who is the borrower with co-borrower, what locations they have, blah, blah, blah, I’m not going to get into all of the stuff that within. If it was purely FICO score, you don’t need to make, you have LTV and you have FICO score, and then if you want to make higher FICO scores cheaper, you take a few points of your rate card and you accomplish that. So, that’s not what it’s all about. I’m surprised as to how much confusion is in the minds of people as to what this is all about. This is a product that it will allow us to take other characteristics of the loan and find what we believe is a more appropriate price for the exposure that we’re assuming.
Mark Lyons: Yes, Vinay, this is just a more sophisticated class rated plan, just like we have on the PC side in analogy. But let’s not lose the fact that it’s already been discrimination between risk with each M.I. of, I’ll use your example of high FICO people. The analogy is schedule rating, you have a file planned to have scheduled rating, where you can deviate for individual risk characteristics. And I think that’s been pretty meaningful up to 20% or 25% to reflect characteristic lead risk. So, it’s already been occurring with the old rate card that there is discrimination between risk, this is simply we believe a better way to do it and a more consistent way to do it.
Vinay Misquith: Okay, that’s helpful. And just as a follow-up to this mortgage insurance I just noticed that the premium growth has slowed a little bit recently especially on the earned premium side and also on the written premium side. Curious as to what’s happening there since you’re now recording the GSE premiums also as written, correct?
Dinos Iordanou: It’s, the part you didn’t mention is a reduction in the singles. The change in the trajectory I would say, it came 100% out of our reduction in the singles.
Mark Lyons: And it’s a good time Vinay for me to correct something that I said before. I had said that singles were 24% a quarter, I misspoke, its 21%. So, I believe the trajectory and our view of that continues to drop. So I agree with Dinos’ comment.
Vinay Misquith: Do you have a sense for what percentage of the business that was last year, was it a much higher percent last year?
Mark Lyons: Yes, I don’t have an exact figure in front of me but it was substantial.
Vinay Misquith: Okay.
Dinos Iordanou: It was the first time we did it last year, and actually pricing on singles a year ago, it was more acceptable to us I think as the last three, four quarters emerged, it became more competitive marketplace because we have some competitors they’re trying to gain market share through singles, we don’t view that as a good place to be and with discipline when it comes to underwriting.
Vinay Misquith: Okay, thank you.
Dinos Iordanou: You’re welcome.
Operator: Thank you. Our next question comes from the line of Jay Gelb from Barclays. Please go ahead.
Jay Gelb: Thank you, I may have missed it. But did you mention your tangent loss?
Dinos Iordanou: Insignificant.
Mark Lyons: Well, first off it’s not a CAT so we didn’t reflect that within the CAT load. And it’s just not that large for us Jay to…
Dinos Iordanou: To even, if it was anything inaudible we would have put something out but it’s not inaudible within our numbers.
Mark Lyons: But there is some exposure from the reinsurance side and the insurance side. And as you know, the uncertainty surrounding these things is quite large the ability to get in and check things out is really just begun recently. So there is a lot of volatility around it, you never know.
Jay Gelb: Okay. Did you add some IBNR just in case?
Dinos Iordanou: We always do.
Mark Lyons: But it’s contained within our standard attritional IBNR, yes.
Jay Gelb: Okay, perfect. Thank you for that. The other question I have was on the tax rate, so 13% in the third quarter that was you said that was a true-up. What do you feel a normalized tax rate is going forward since historically it’s been in the low single-digits?
Mark Lyons: Well, I think you should, well, first-off, longer term implies I know where, what your sections is going to give me profits on a go forward basis. And that really does fluctuate from quarter to quarter. But you’re looking at the tax rate on net income as opposed to the tax rate on operating. And just think, it’s just the simple arithmetic of it, you’ve got the tax rate on pre-tax operating income and to convert over to net income, it’s really the realized losses. So you got the same packed dollars with a smaller denominator, I mean, that’s the arithmetic to push it up to 13. So, but on a, our current view on operating like trailing 12-month type view on operating income is likely to be 4-ish percent 5-ish percent.
Dinos Iordanou: I would say between 4% and 5%. And that’s a better way to look at it. Don’t look on net income in one quarter, look at it from a trailing 12 months, then you got more of the net income, more of the - and then you can add all the tax and then it would give you a better feel as to what the percentage is.
Jay Gelb: Okay, that’s fine. It just bounced around, so I just wanted to quantify that. And then on the buyback so with the stock now trading around 1.6 times booked it sounds like Arch is really not going to be in the market for buybacks. Is it?
Dinos Iordanou: I didn’t tell you that. I said something different. I never said I’m not going to be in the market right.
Jay Gelb: Okay. I mean, that valuation seems to be pretty important parameter. How should we think about it?
Dinos Iordanou: Valuation is very important. But we look at it based on the prospects of what returns we get on the business we write. And if my recovery period, elongate and we starting getting uncomfortable over three years, then we shall wait from, there is nothing to do with how we feel about the stock it’s just purely our approach to it. And that approach might change, I don’t know what my discussions with wiser guys, that’s why I got pretty wise guys on my board to give me advice and what prospective they’re going to have. But based on what I said, we might sit on excess capital because there are some of the opportunities for us to deploy in a different fashion in the marketplace.
Mark Lyons: And also Jay, we as you know, we move our mix of business and our capital around depending on what the opportunities are. And we talked earlier about the real opportunities in the GSE credit rate sharing space. So hypothetically if that increased at a higher rate than we had anticipated or we had other opportunities around the world, that mixture might increase our view of four ROE by 200 basis points or something, which is going to come into the equation of time to payback.
Jay Gelb: Of course. If the stock were valued instead let’s say at 1.5 times book, would that have been within your range of viewing it within the three-year payback period?
Dinos Iordanou: It could be. It’s hard for me to project into the future. I mean, it’s like describing the guy who can read the obituary pages five years from today and he finds his name there. That’s not a good place to be. But we make those decisions and we’re flexible on a quarter to quarter basis. And we have unknown, and when we have unknown sometimes we go back a little bit. For example, the mortgage GSE opportunities, and I think Sarah is the one who asked the question and I couldn’t answer it because I know the opportunity is big, the demand is there but I don’t know how big it’s going to be. And I don’t know how much of our capital we want to allocate to that. So, when I have unknowns I rather say I got unknowns and here is how we’re thinking but there might be opportunities. Because I know you want to build new models and project year-out or quarter out and all that but I don’t operate on that basis. I’m trying to make sure that our underwriting team makes the right decisions based on the latest information they have. If I have excess capital, it’s not burning a hole in my pocket. So unless somebody is trying to put his hand in my pocket and take it and then I will cut it, that’s not a problem. It’s a good problem to have.
Jay Gelb: That’s right. Thank you.
Operator: Okay, thank you. Our next question comes from the line of Kai Pan from Morgan Stanley. Please go ahead.
Kai Pan: Thank you, and thank you for taking past here over lunch time. So, first, around the…
Dinos Iordanou: Lucky sandwich is on the grill.
Kai Pan: All right. Do you have any exposure to Volkswagen and potential exposure Volkswagen and the Hurricane Patricia?
Dinos Iordanou: Insignificant, insignificant.
Kai Pan: Okay, that’s great. And then on probably CAT gen-1 pricing, what’s your outlook and you have reducing the business quite a bit over the past few years. If the market stabilizes, would you become more interested in write more business there?
Dinos Iordanou: Well, listen, a hallmark is putting the right price based on risk-exposure just we underwrite. If the market improves, we’re going to write more. Our appetite has not disappeared. There were times that we were committing 20%, 21%, 22% of equity capital to that line on a PML basis and we’re down to now 9% and actually for Florida, and Gulf of Mexico which is less than that. So, our appetite will depend on the market pricing. Now predicting what’s going to happen on January 1, who knows. If I have to guess, it would probably be a stable where it is today because I think even for those that they participate, the new capital that comes in, even with no real CAT. Their returns are not super juicy. And that’s a sub statement to say when there is no CAT, you don’t have super juicy because what do you do when you have the CAT, right.
Mark Lyons: Kai, I would also add, we use the term if it stabilizes, it depends what you mean by stabilizes. Improving doesn’t mean stabilizing to me. And if the rate cut stay, there is no more rate cut say zero percent change. We’ve been shedding volume given that relative levels, so I wouldn’t expect our business to increase if it stays at the level where it is today, it would have to improve not merely stabilize.
Kai Pan: Okay. So, you’re not expecting any sort of meaningful price increases from current levels?
Dinos Iordanou: Nothing I see in our eyes now that is going to, that is telling me that to anticipate price increases. But we don’t make decision on anticipation. We make decision as to what we see in the marketplace.
Kai Pan: Okay, that’s great. Then, on sort of management succession, Dinos you’ve been running, you had a great track since you founded the Company, and I’m sure you are excited running the business as of today. But I don’t know if the company has mandatory retirement age but is the board considering a succession planning and how do you think about it?
Dinos Iordanou: We have succession planning in every senior position we have with, it’s part of our process within the Com Committee. Their responsibility is and my responsibility as CEO is not only preparing my successor but also each one of our key positions has one or two successors ready from within. And that process is not new it’s been in place now for over 10 years. Having said that, if you’re at my contract, it goes all the way to end of ‘17 actually, March 1, ‘18, so I can sign the 10-K if I decide to just become the Chairman, but no decisions have been made. But there is an existing succession plan within the company that is part of the responsibility of our board, and they take it seriously and they - and we talk about it at least once a year in the company.
Kai Pan: That’s great. Well, thank you so much for the answers.
Dinos Iordanou: You’re welcome.
Operator: Thank you. Our next question comes from the line of Meyer Shields from KBW. Please go ahead.
Meyer Shields: Thanks. I’ll try to be quick I know it’s getting late. Dinos, I think you did a great job of laying out the point of the RateStar program. But if you’re allowing lenders to choose between RateStar and the rate card, doesn’t that just invite adverse selection?
Dinos Iordanou: If you allow them to have both yes, but basically what we’re telling lenders, you need to have one or the other.
Meyer Shields: Okay.
Dinos Iordanou: You can’t have the rate card and then price it that way and then price it on the other way and back and forth. It’s either you choose to participate with us on the rate card or you choose to participate with us on the RateStar.
Meyer Shields: Okay, that helps. What is the loss trend in the insurance segment that corresponds to the 60 basis points sort of premium or rate decline?
Dinos Iordanou: I’m sorry, could you, the 60 bps rate decline?
Meyer Shields: Yes, I’m just trying to get a picture of the funding?
Dinos Iordanou: It’s probably short-lines at weighing the increases we get on long-tail lines.
Mark Lyons: That’s exactly what it is.
Dinos Iordanou: So, as I said, it’s about 4.4% down on the first party lines and I think I’ve said 30 bps or 40 bps up no the third party lines. And our volume on the short tail-lines, it’s small so you got to do weighted average, right.
Dinos Iordanou: Right. I’m just trying to, understood, get the sort of weighted average loss cost trend that corresponds to that?
Dinos Iordanou: If you remember, your Algebra I, Meyer, you got all the information.
Meyer Shields: I’m sorry, probably more...
Dinos Iordanou: The 4.4% is not in excess of loss trend, it’s the pure effective rate change. You need to layer on top of that to do a loss ratio conversion from here A to period B what your estimate of loss trends is. But as we said in the past, it’s very widely by line of business.
Meyer Shields: Okay, thanks so much.
Dinos Iordanou: And we go through those calculations, when we say 60 bps it’s a lot of work behind it to come up to that. And I’m being surrounded by actuaries usually we’re pretty technical when it comes to that stuff.
Meyer Shields: That sounds like a nightmare, but good luck.
Operator: Okay, thank you. Our next question comes from the line of Jay Cohen from Bank of America. Please go ahead.
Jay Cohen: Yes, thank you. Maybe a bigger picture question on the mortgage business, I believe Dinos in the past you’ve said that when this business gets to scale that I think the segment earnings could be as much as a third of the overall company’s earnings. Is that still a view that you believe is accurate?
Dinos Iordanou: Yes, that’s an accurate view. But I also said that it would take three to five years to get to that point. So we believe, yes, we have potential to be earning $150 million to $200 million annually from the mortgage business but it’s got to get to maturity and we’re not there yet.
Jay Cohen: Right. And then, maybe a bit more technical, when I look at the, as you get scale in this business, the expense ratio comes down. I’m assuming the bulk of that shows up in other operating expense ratio, should the acquisition expense ratio also improve over time or should that be relatively stable?
Mark Lyons: That should improve because and on the U.S. mortgage side, it’s really a sales force that’s there. So you’re going to have those fixed cost and you write more volume with your drop.
Dinos Iordanou: A sales force is constant right, I mean, we’re not adding, once you get to a steady state on your sales force, maybe you add one person here and there. And then there is a little bit of increased cost of living adjustments etcetera incentive compensation. But so, that’s more of a steady number. And then, as you’re building volume your expense structure on a percentage basis is going to improve.
Mark Lyons: And Jay, just to clarify on your first question. Yes, with longer term view, mortgage could be materially significant piece of our net income or our underwriting gain or loss. But that’s the mortgage segment in totality that it’s not necessarily USMI, you have the reinsurance segment. And as we said, the increasing contributions from the GSE, it’s in totality. That’s what you ask, you didn’t ask about anything.
Jay Cohen: Yes, no, it was the segment, that’s what I figured.
Mark Lyons: Okay.
Dinos Iordanou: Right, right, right, fair enough.
Jay Cohen: Very helpful. Thanks guys.
Dinos Iordanou: Thank you.
Operator: Thank you. Our next question comes from the line of Brian Meredith from UBS. Please go ahead.
Brian Meredith: Yes, thanks I’ll be quick also. Just quickly, Mark, I don’t know if I caught it, but last quarter when you talked about the difference between on the insurance side, your ceded benefit that you’re getting, ceded on the acquisitions or commission ratio versus what you’re, increase your paying, I think it goes like 60 basis points in the written. Was it similar this quarter, spread side?
Mark Lyons: Yes, on the quarter share treaties that dominate the sessions, it was 260-basis point spread of, or actually I think we saved that. Improvement in the ceding commission by 260 basis points 3Q-to-3Q and last quarter 2Q-to-2Q had exactly the same improved spread difference.
Dinos Iordanou: And at some point in time that would disappear because once we cycle over four quarters it’s over until, in comparison quarter to quarter.
Mark Lyons: We keep getting the gain but the difference took other way.
Brian Meredith: Right, right, so therefore your acquisition expense ratio should probably continue to come down in the insurance space?
Dinos Iordanou: You’re right.
Brian Meredith: For at least the next couple of quarters?
Dinos Iordanou: On the earnings yes.
Mark Lyons: Barring no change on the front-end direct commission.
Brian Meredith: Got you, okay. And then my second question, I guess bigger picture also, if I look at your overall business, reinsurance return on equity probably continuing to kind of come down here with the rate pressure insurance maybe flattish to down. Is the increase in the mortgage insurance that you’re seeing grows kind of when you look out here, is that enough to continue to offset kind of the decline you’re seeing in the reinsurance ROEs to keep it stable?
Dinos Iordanou: Well, it’s a difficult question to answer because it depends on the volume. But two things I got to tell you, don’t underestimate how good our reinsurance guys are. They’re finding other avenues not all of their business is this, what I would say large client under a lot of pressure business. They’re finding niches here and there to still be relevant and have good returns. So and at the end of the day, yes, if our mortgage business continues to grow, it might offset it. But I don’t know that because I can’t project volumes, we don’t spend time thinking about volumes and that’s why we’re not trying to be avoiding the questions but to us, future projections are not, we don’t spend a lot of time on those. What we spend a lot of time is to analyze what we have and how we’re going to behave quarter-to-quarter based on the market conditions that we see every quarter.
Mark Lyons: Yes, let me just add a little bit to that Brian. The insurance group, and when it comes to mass is 60% to 65% of the net written, which will then find us way into earnings. And there margins have continued to improve and one this quarter as well. And some of that is on the loss ratio side that we’ve seen and some is on like the question about the C-Commission overrides. So we expect continuing contributions from the insurance group which is I’d say 60% to 65% of the weight.
Brian Meredith: Got you, great. Thank you.
Operator: Okay, thank you. Your next question comes from the line of Ryan Burns from Janney. Please go ahead.
Ryan Burns: Great, thanks good afternoon guys. Just one question from me. I’m just trying to figure out why your tangent loss was immaterial. It seemed to kind of affect most of your competitors. I just wanted to see if you guys avoided certain risks or coverage that kept you away from these losses or if they were just simply luck, I’m imagining it’s more the former?
Dinos Iordanou: Well, you can call it luck. You can call it good underwriting or a combination of both. You can call it good underwriting or a combination of both. When you give me the choice, I’d rather be lucky than good. But I think with both, lucky and good.
Ryan Burns: Okay, thanks guys.
Dinos Iordanou: Thank you.
Operator: Okay, thank you. And your next question comes from the line of Rob Path from Wells Fargo Securities.
Rob Path: Yes, thanks for squeezing me in here. When I look at your balance sheet, it looks like your revolving credit borrowings went up by about $239 million in the quarter. But when I look at your calculation of leverage you don’t seem to be including those in your leverage number. So are these Watford borrowings, are these something else going on here?
Dinos Iordanou: Yes, you found it.
Mark Lyons: I love it when you answer your own question.
Rob Path: Okay.
Mark Lyons: That’s exactly right. It was $239 million increase in borrowing from revolver on Watford but since we consolidated of course we have to reflect that on our balance sheet. And you’re also correct that our capital composition exhibit is for non-Watford. So you hit exactly.
Rob Path: Okay. And I don’t know if you can discuss what they need the money for and if these borrowings are non-recourse to Arch?
Dinos Iordanou: Non-recourse to Arch is their borrowings. And they’re using them for investment.
Rob Path: Okay.
Dinos Iordanou: There are business plans always included, I think one and half times leveraged up to one and half. So, it’s a company with over $1 billion of capital. So, they would probably borrow up to $400 million to $500 million and use it in the investment strategy. We’re not responsible for the investments we’re only responsible for the underwriting side.
Rob Path: Okay, right, thanks very much.
Dinos Iordanou: You’re welcome.
Operator: Okay, thank you. And your next question comes from the line of Ian Gutterman from Balyasny.
Ian Gutterman: Hi, thank you. Dinos, I think Kai called you a little old earlier, I was a little surprised by that but.
Dinos Iordanou: He did, listen I’ve been old for a long time. I got the AARP card like 15 years ago, so yes.
Ian Gutterman: I hope you burned it but that’s a different discussion.
Dinos Iordanou: I did, I did, I actually threw it in the garbage, I was so mad when I got it but.
Ian Gutterman: Good, good. So, first, to follow-up that last question, is the reason Watford needs or chooses to use debt to get to their asset leverage because they’re behind plan on float and they thought they would have been on float and they’re appraising that or?
Dinos Iordanou: I don’t, listen, these are questions for Watford. But what I’m telling you is, they believe there might have been opportunities now based on what they see in the market and they say hey, we can put some leverage on it and buy stuff.
Ian Gutterman: Okay.
Mark Lyons: And Ian, just to add to that, use of leverage was there from day one on the initial business plan.
Ian Gutterman: Okay.
Dinos Iordanou: But no need to go out and borrow when you haven’t even deployed your own capital yet, and not yet because float for that I mean, our premium plans would have been hitting based on the original plan so there is float coming in from our underwriting activities.
Ian Gutterman: Exactly that’s what I want to make sure about, okay, good. So, my, the first question I was going to ask before I was, on the capital discussion, can you remind me, you guys have obviously never paid a dividend whether it, be ordinary or special. Sort of remind me sort of why you guys are averse to dividends, is it a taxing, is it just you don’t want the commitment of it or?
Dinos Iordanou: Well, I mean, you’re forcing a tax build to your shareholders right. And once you give the money, the next day you get an opportunity, then you got to go and borrow to take advantage of it. We always like to have a little bit of excess capital maybe we have a lot of excess capital. But right now, it’s not at the level that is really giving me a lot of angst. Even though excess capital is only earning 2.3% to 3%, there are about, it is what it is. But like I said they, we talked to our investors are opposed to special dividend. They think that over time it might not be in the next few quarters, it might be in the next year or two, will find the right opportunity and deploy capital. Don’t forget we were talking about excess capital etcetera our mortgage business is a new business for us. We only started it about four or five years ago, and it really is getting scaled now. So, if I didn’t find that opportunity with our guys, it was predominantly Mark Grandisson who discovered based on our discussions with our investment department and me etcetera. We wouldn’t have that opportunity to deploy today in excess of $0.5 billion of capital into that business. So, it’s, everybody tries to say if I have this magic balance sheet that is always in balance, that would be Utopia. But I’m a realist, there is no such thing as Utopia. We try to do the best we can.
Ian Gutterman: Very correct. I just want to make sure, I was remembering correctly. Then on M.I. just a couple of quick things, one I don’t think this has come up yet. I believe there is a lot of talk about just pricing changing in the bank channel, I think it’s more of a community bank channel. If I’m correct that’s sort of some of the banks are sort of I guess jealous of the credit union success right, and saying since the crises things have changed and the credit union is not necessarily a better channel than a regional bank anymore given changes in lending standards and why are we charging so much more for M.I. and the bank channel. And therefore we should cut rates to bring it more in line with the credit union experience. Is that happening or is that being discussed and if so just, what are your thoughts on that?
Dinos Iordanou: Listen, I don’t know if it’s being discussed because I haven’t really specifically talked to our sales force about that. You’re right, some of the community bank experience has been better than the, what I will call the large regional or the national. And the data shows it. And that’s why I said before that maybe some of the rate store might be more adaptable to these community banks which have similar characteristics to the credit unions. They know they’re closer to their customers, they know them well. They’re in the community, they know who is who. And they, to a great extent they spend more time and effort in approving mortgages. So how do you reflect that? That’s our secret sauce.
Ian Gutterman: Got it, very fair. And then just lastly on the RateStar thing is, I guess what’s interesting to me, I’m not asking to give us your secret sauce here but just I always thought about FICO things, again I know you maybe have some missteps in the crises but obviously was because of lending standards maybe more than FICO itself, right. And when you look at auto insurance that FICO was the best predictor of when you’re going to get into an auto accident. It seems like it’s pretty powerful variable, I mean, what do you see as?
Dinos Iordanou: Absolutely, but we’re not eliminating FICO. FICO is very powerful, yes. And known to value is very powerful. But there is other attributes that they have predictive ability and value. So, by ignoring them, is it two borrowers or one co-borrowing, is it coverage ratio, is it 30, 40, or 50. And I can go on and on and on into the other things that what character you’re in or what do, you think about the housing market in the territory, etcetera, etcetera, etcetera. And I’m not going to go and tell everybody as to what we’ve done with it but we’ve done a lot of work. We believe that it’s a, I wouldn’t say smarter because that’s arrogant. I think it’s a different way of looking. But I think it’s a better way in our view to assign the right price to mortgage risk.
Ian Gutterman: That makes sense. I guess maybe if I ask at a slightly different way. Is your sense that that FICO is maybe explaining that was going to make up number share right? But if FICO is so good that was explaining 90% of the difference in borrowers, this gets you to last 10% or was it maybe two thirds and this gives you a whole another third, do you know what I mean. I’m just trying to get a sense of?
Dinos Iordanou: I don’t know because, I don’t know from the work, I’ve seen some of their work and I participate in some of their discussion. So I can’t put a percentage or predictability on any one attribute. But I can tell you FICO is a very important piece. LTV for risk it’s very important for other risks it might not be. Like a young couple, two MBA students that they college sweethearts, they both have pretty good jobs and they can only scrap together a 5% payment because they’re going to live in a bigger house because they have a lot of income. So, the LTV might not be as credible and they might have super fiber scores. And these other attributes and that you might price that loan differently than simple rate card.
Ian Gutterman: Got it. That makes sense. Thanks for the explanation.
Dinos Iordanou: Okay.
Operator: Okay. Thank you. And your next question comes from the line of Charles Sebaski from BMO Capital Markets. Please go ahead.
Charles Sebaski: Thanks. I didn’t think I was going to get in today. I appreciate your time.
Dinos Iordanou: Well Charles, you’ve been very patient. So I think you’re the last question and we’ll give you all the time you want.
Mark Lyons: Chuck, yes, it’s good. I think your this call is caboose.
Charles Sebaski: Excellent. I just, the first is on the GSE business and obviously you can’t predict how the flow on that risk sharing is going to come in the future or how much. But I guess, at the current pricing and structuring level, is there any other constraints other than the flow from the GSE for how you guys would participate at current pricing, is there aggregation or other issues that might halt that as it comes online?
Dinos Iordanou: There are two issues, its two issues you got to think about this. Is the willingness of the, the number one issue is that GSE is, they’re going to put this in the market that’s known, there is a lot of pressure by Congress to de-risk and not be the credit providers for loans beyond the mandatory 20% down payment, maybe all the way down to 40%. Now, that’s why we’ve been hesitant on volumes. And lot of this goes to the capital markets. And it depends what pricing they’re getting from the capital markets. With both GSEs Fannie and Freddie are doing, they’re developing two parallel markets, they’re developing the insurance, reinsurance market that and it fluctuates sometimes they allocate 20% to 30%. And then the rest of it goes to the capital market. But we have no control as to what those allocations. If the capital markets become expensive, maybe they would start allocating 30% to 40% to the insurance markets, and believe me, what happens in the capital markets will also affect the pricing that comes on to the insurance and reinsurance market. The reason they’re doing that, they believe that by creating two avenues and two different source of capital responding to these, credit risk it’s good in the long-run. And it might create more stability for that because they have two different path to share credit risk into the private domain instead of the government taking it. So, I don’t know which way it’s going to go, but right now we believe that with insurance accounting being introduced and the innovations that we have worked very closely with the GSEs there, and their willingness and they’re talking to a lot of others within the insurance and reinsurance business, I don’t know how many they have the expertise to do it but some do. I think this is going to be a new market for the insurance reinsurance business, and it can be substantial over time.
Mark Lyons: And Chuck, the other thing that it makes it difficult to predict, as Dinos said, Dinos was describing more how Freddie Mac has done it, whereas the same notional data of loans and capital markets and the insurance reinsurance industry share on that same set. Fannie has done it a little bit differently. But the using capital markets and the reinsurance market, but it’s a different pool. So, what’s gone out to the Fannie deal has been exclusively a pool that went to the reinsurance industry. And a separate pool may have gone to the capital markets. So, they may not continue doing that way, they may wind up doing it similar to Freddie. So there is a lot of different parameters that, the projection is difficult.
Dinos Iordanou: It’s a young emerging market and a lot of it is because the Congress in general, they want Fannie & Freddie to de-risk. And for that reason, we feel optimistic that this is going to, the demand is always going to be there. Now, if you’re going to go 100% to the capital market, I doubt it. Now, what percentage comes to the insurance, reinsurance versus the capital markets is in their hands. And you got two big customers here. And they hold all the cost, so yes.
Charles Sebaski: I guess, I’m not asking you to predict what they are going to put out, I guess what I was trying to understand is, is what is your constraints, right, I mean, conceptually Fannie & Freddie could put out more risk than you guys could possibly take or the insurance market just to the size of the portfolio. What is, you’re guys constraints if we read that Fannie is accelerating there?
Dinos Iordanou: As we do with every line of business that we have, we have a, think of it as a PML, and how much of our equity capital we want to risk, so there is a constraint. And we have developed actually maybe we’re the only ones, I don’t know if our competitors do that or not, I have no idea. I’m sure from a risk management point of view they do something of that sort. But we do calculate on a quarterly basis what the PML values we have for the mortgage business. And we have, that will be a constraint at some point in time. When we reach the upper limit of the available PML that would be a constraint for us. But we got other vehicles, we might create a cycle at that time, we might use our knowledge and ability and underwriting ability and the systems we have, don’t forget, you got to have good systems to price loan by loan, etcetera to introduce other capital providers into the sector with us as we’ve done with Watford, we can do mortgage Watford so to speak. So, we have a lot of flexibility. We’re nowhere near yet of having that constraint. So, for the time being, it is, we got freedom to operate and we got plenty of capital to deploy and it’s not violating any of our PML criteria that the board sets as to how much risk you’re going to take in any particular. I don’t care if its cap risk or mortgage risk or DNL risk we have in our risk management principles we have limits that we want to take.
Charles Sebaski: And then, I guess, finally on RateStar, what is the, are you guys first in the trying to use a more automated multi-variant pricing model here? And if you are, what’s the lag time or the lead time if you guys are pitching this out into the market to be originators and your competitors go up, Arch is a leg ahead of us here now on this. What’s the lead time you guys have on this kind of product?
Dinos Iordanou: Well, I don’t know, we’re not the first. United Guaranty, part of AIG, introduced risk-based pricing first. Probably they’ve been out for about a year now. They were ahead of us maybe longer than a year. And basically we agree with their approach, it’s fundamental to underwriting. And now, how acceptable it’s going to be to the marketplace and all that, I don’t know. But it seems that United Guaranty, they have some penetration and they have acceptability of it in for quite a few of the states from an approval point of view. So, we’re optimistic.
Charles Sebaski: I appreciate all the answers. Thank you very much guys.
Dinos Iordanou: Thank you.
Mark Lyons: Thank you.
Operator: Okay. Thank you. So, now I’d like to turn the call over to Dinos Iordanou for closing remarks.
Dinos Iordanou: Well, thank you for listening to us. It was a little longer. It was mostly mortgage. I almost forgot that I’m in the insurance and reinsurance business. But we’re looking forward to be speaking to you next quarter. Have a wonderful afternoon.
Operator: Thank you for your participation in today’s conference. This concludes the presentation. You may now disconnect. Have a good day.